Operator: Greetings, ladies and gentlemen. And welcome to The Valens Company’s Second Quarter 2020 Financial Results Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Everett Knight, Executive Vice President of Corporate Development and Capital Markets of The Valens Company. Everett, please go ahead.
Everett Knight: Thank you, Operator. Good morning. And welcome to The Valens Company’s second quarter 2020 financial results conference call. A replay of this call will be archived on the Investor Relations section of the Valens’ website at www.thevalenscompany.com/investors. Before we begin, please let me remind you that during the course of this conference call, Valens’ management may make statement including with respect to expectations or estimates of future performance. All such statements and other than statements of historical facts could constitute forward-looking information or forward-looking statements within the meaning of the applicable security laws and are based on expectation, estimates and projections as of the date hereof. These forward-looking statements are subject to a number of risks and uncertainties that may cause actual results to differ materially from expectations. For more information on the company’s risks and uncertainties related to the forward-looking statements, please refer to our latest annual information form filed with the Canadian securities regulatory authorities at www.sedar.com or on the Valens company’s website at www.thevalenscompany.com. The risks described in such annual information form are hereby incorporated by reference herein. Although these forward-looking statements reflect management’s current beliefs and reasonable assumptions based on current available information available to management as of the date hereof. We cannot be certain that actual results would be consistent with such forward-looking information and we do not undertake to revise or update any such forward-looking statements in the future. We caution you not only to place undue reliance upon any such forward-looking statements. For a reconciliation of non-GAAP measures discussed, please consult our MD&A filed on SEDAR. Joining me on the call today are Mr. Tyler Robson, Chief Executive Officer; Mr. Chris Buysen, Chief Financial Officer; and Mr. Jeff Fallows, President. With that, I would now like to hand over the call to Tyler. Tyler, please go ahead.
Tyler Robson: Thank you, Everett. And welcome to everyone that has joined our earnings call to discuss our results for the second quarter ended May 31, 2020. As we navigate the unpredictable events of 2020, I appreciate this opportunity to speak directly to our shareholders today and provide a corporate update. Later in today’s call, Jeff Fallows will provide a more comprehensive update on our recent operational achievements, Everett and I will provide an overview on our capital markets achievements and Chris Buysen will give an overview of our financial results for the second quarter. But first I am going to recap the last quarter’s performance and talk about the trends we are seeing in sectors. Today we are undeniably facing challenges that reflect the global volatility and economic uncertainty across each sector as a result of this pandemic. However, I would like to make it clear that to all of our shareholders that despite the noise of the current environment, we are focused on executing our corporate strategy, maintaining profitability, securing solid partnerships that drive the most value for our accelerated platform with the views of creating long-term shareholder value. Revenue for the second quarter of 2020 was $17.6 million, 100.3% increase from $8.8 million in the second quarter of 2019 and a 44.9% decrease from $32 million in the previous quarter ended February 29, 2020. Gross profit increased to $6.3 million or 35.8% of revenue for the second quarter of 2020, compared to $5.1 million or 57.9% of revenue in the same period fiscal 2019. The decrease -- and decreased 65.1%, compared to $18.1 million in the previous quarter ended February 29, 2020. Adjusted EBITDA was $2.7 million or 15.3% of revenue for the second quarter of 2020, compared to $2 million or 23% of revenue in the second quarter of 2019 and decreased 81.1%, compared to $14.3 million for the quarter ended February 29, 2020. These results while representing a pullback from our previous five quarters of quarterly reported growth, demonstrates a continued advancement of our strategic plan amidst the challenging market backdrop. Well demand for total extraction has negatively impacted as a result of the current environment our strategic plan has not changed. We have made significant progress on building our white label and custom manufacturing platform in the addition to working to secure more opportunities as they arise in this high margin segment. Again, this quarter we attribute a decrease in total extraction revenue with distillate product sales due to slowdown across the cannabis sector as we and our customers adopt to a more cautious approach to casting vote [ph], which we expect to continue to the third quarter -- third fiscal quarter. However, we continue to remain optimistic about the return of total extraction volumes as many of you including our customers, they will have large drive cannabis inventory which they can better monetize through conversion to oil based products. In the second quarter, we shifted our focus to extracting Valens-owned cannabis and hemp biomass, processing over 30,000 kilograms to prepare for anticipated inventory requirements for 2.0 product offerings in later half of 2020. Growing retail sales and many successful product launches across the country signal market demand for more 2.0 products. Regards to the challenges presented in the second quarter, The Valens Company remained a partner choice for many of the industry’s leading licensed producers and branded companies as we hold a necessary capability to be -- to successfully execute on every step of the product development and supply chain. The increased revenue from our custom manufacturing, white label and co-packing agreement is expected to continue as both new and existing customers recognize the value of our platform. We currently have a strong pipeline to support the future launch of 2.0 products in the marketplace. This unique custom manufacturing agreement we signed subsequent to quarter end are expected to drive significant revenue growth in the second half of 2020. Throughout the second quarter we continue to execute on our existing contract to support our customers as they introduced more 2.0 product format to Canadian consumers. Our internal record of launching a new product is -- product in 44 days demonstrates Valens commitment to our partners, as well as gaining available market share for our value-add product. I will now turn the call over to Jeff Fallows, President of The Valens Company to dive deeper into our operational achievement in this quarter and outlook on the rest of the year, as well as provide more details on how we are adapting to the current environment. I will be available to answer questions at the end of this call.
Jeff Fallows: Thank you, Tyler. As noted, it has been a challenging quarter as several of our customers have experienced reduced workforces and decreases in cultivation output, which have resulted in a reduction in demand for our extraction services. With this in mind, we are cognizant of the need to run our company responsibly and are carefully monitoring our concentration risk, as well as the creditworthiness of our customers. We are also being selective in the extraction customers as we are on-boarding. Overall, we believe that we are navigating in the current market challenges successfully and are making solid progress in expanding our custom manufacturing and white label business segment, which is the key pillar of our strategy and is expected to be the primary driver of future revenue growth. We believe we have the most advanced and adaptable 2.0 platform in the market to manufacture innovative and differentiated products as demonstrated by our scale, diversity of our technical capabilities and the quality of our products. This, together with the strength of our customer relationships puts us in a strong position to be a leader in the industry even with the market challenges experienced over the past several months. As a result, we are expecting aggregate EBITDA growth to accelerate from current levels with the bulk of our growth expected to come in fiscal Q4 as a significant number of our new 2.0 products hit the shelves. While we are disappointed that the decline in revenue from extraction services has impacted our financial results for the quarter, we have made significant progress during this time to position our business to realize on the many emerging market opportunities we face. In addition to the white label partnership with A1 Cannabis Company, a subsidiary of Iconic Brewing we continue to see growing demand for quality products in the market that have translated into signed customer agreements. Our customized offerings differentiate Valens in the market and enable us to empower our customers, gain market share and expand our operations. We only expect this demand to grow as we bring hydrocarbon products including crumble, live resin and other concentrates to market in Q3 and beyond. We are pleased that we have completed our first shipment of crumble at the beginning of July, the first ultra-premium concentrate offering in the country in partnership with Verse Cannabis. Our pipeline of manufacturing opportunities extends beyond Canada and we continue to engage in discussions with global players with a view to penetrating international markets and accelerating our growth as legalization spreads worldwide. We recently signed a five-year distribution agreement with Cannvalate, Australia’s largest medicinal cannabis distributor and clinical research organization. We see a great potential on the Australian market, as it is currently the second largest cannabis market outside of North America. The partnership provides The Valens’ the platform to establish in its initial operations and pursue required licensing in Australia bringing Valens’ high quality oil-based products to a growing medicinal patient base and ultimately a broader consumer market. In the short-term, we are focused on monetizing this agreement through the shipments of a broad range of products from our facility in Canada to Australia, which we expect to start in the third quarter of 2020, subject to receiving the necessary import and export permits. We are also in the process of finalizing a long-term lease on a property in Australia with a view to building out a manufacturing facility that will serve as the hub of our operations in the country and grow both in the scale and capability as the market demand dictates. Construction on the facility is expected to commit -- commence upon the signing of the lease and is expected to be -- and the facility is expected to be fully operational halfway through 2020 or through 2021, excuse me, subject to applicable licensing and regulatory approvals. Our agreement with Cannvalate is an important step forward in our targeted global expansion strategy, which focuses on developing distribution channels and near-term revenue opportunities with shorter payback periods rather than an asset heavy model. As discussed on our last call, we expect global cannabis revenue within 2020 with the potential for facilities on the ground internationally in 2021. Meanwhile we have seen an uptick in demand for 2.0 products in Canada and I have signed several new custom manufacturing partnerships to launch brand new products with leading brands. We entered into an agreement with TREC Brands to manufacture and sell vape pen as a new product format across three of their existing brands with a potential for expansion to other products in the future. We also entered into an initial five-year manufacturing and distribution agreement with Verse Cannabis to develop a range of high quality products such as concentrates, vapes, oils and water-based products, leveraging sourced by Valens emulsion technology under two separate product lines. Both the Verse and TREC agreements allow a royalty based payment structure and are expected to generate long-term revenue for the company. Other recent milestones include the launch of our premium vape line made by in partnership with the signing of an initial two-year agreement with high and new brands to develop and manufacture a premium line of vape products under the DAIZE brand portfolio, as well as a two year agreement with FPS Brands to develop and manufacture a craft line of temporized CBD products under the ufeelu portfolio. As noted, we are pleased that despite the challenging market environment, we continue to hit many critical milestones in the strategic development of the company and have made material strides in growing our custom manufacturing segment with many more opportunities under negotiation. We will continue to accelerate the scale up of our product development capabilities by developing additional IP to launch several new product formats. We have manufactured a record 36 SKUs that exceeded our estimate of 25 mentioned in the first quarter of 2020 conference call leading to increased Canadian market share. The number of SKUs in development, as well as product offerings are expected to increase throughout the second half of 2020 as our white label and custom manufacturing agreements grow and revenue from extraction contracts contributes to a smaller proportion of total revenue. I will now turn the call over to Everett Knight, Executive Vice President of Corporate Development and Capital Markets to discuss our capital expenditure plans in more detail and some of our other initiatives to bring value to our shareholders. Everett?
Everett Knight: Thank you, Jeff. To begin I would like to thank our shareholders for the continued support as we navigate these uncertain times. We are looking forward to the future as Valens platform expands and gains continued recognition for the value to add manufacturing services, we have already successfully integrated into the supply chain of many leading companies. We aim to continue to get the Valens name in front of the necessary stakeholders to not only increase our exposure as a third-party manufacturer, but also to communicate the inherent potential we see in our business in the long-term. In the recent months, we have hit several exciting milestones that are aligned with our strategy to grow as a global cannabinoid-based product manufacturer, and importantly, deliver value for our shareholders. Our uplisting to the Toronto Stock Exchange on April 16th was a strategic move to support additional liquidity in our stock and broaden our reach within the investment community. We also successfully completed our continuance out of British Columbia to become federally incorporated as The Valens Company, a new name, which we believe better reflects the strategic vision and identity of the business, and in addition to these milestones, I have seen our institutional research coverage expand. In order to strengthen our balance sheet, mitigate risks and to allow us to continue to focus on growing our core operation, we entered in this syndicated credit facility as announced earlier in June with CIBC and ATB Financial for up to $40 million of secured debt financing at an attractive rates. This increases our confidence in our balance sheet and offers us a strong foundation that will allow us to leverage attractive investment opportunities as we emerge on the other side of the current market challenges. We believe our share price remain undervalued and in the second quarter we started to buy back shares under our Normal Course Issuer Bid, as an effective and immediate way to return value for shareholders. The company acquired 43,600 of its common shares through a Normal Course Issuer Bid during the month of May 2020 at a price range of $2.24 to $2.25 per share. The company will continue to evaluate the opportunity to purchase additional shares under the Normal Course Issuer Bid in the coming quarters and will continue to provide updates to shareholders. We are making crucial strides developing our intellectual properties that will support an attractive pipeline of opportunities. As Jeff mentioned, we are producing an ever expanding range of SKUs, and our ability to efficiently and quickly turnaround new product is constantly improving. To support these efforts, we are increasing our manufacturing capacity at our facility North Toronto [ph], which upon completion we expect to be used in the production of beverages, edibles and sourced products. We are currently on track to have this facility operational at the start of 2021. The construction at our K2 facility in Kelowna is almost complete and is expected to be operational in the fourth quarter of 2020. Once this facility comes online we will add increased scale to a number of our manufacturing capability necessary to meet the 2.0 market demand. We are currently a market leader in the 2.0 cannabis product space but with these expansions we will -- we expect to truly become a premier Canadian manufacturer of oil-based cannabis products with the ultimate ability to distribute products globally. We have received the oil-based products market growing rapidly and we believe it will continue -- it eventually dominates the cannabis retail sales in Canada. We achieved our goal of reducing our accounts receivable balance in the second quarter. This is a result of the internal controls that management has put in the place to facilitate appropriate payment terms and timeliness ultimately creating a win-win scenario for both parties. We are working hard to have our AR continue to decline in the coming quarters, ultimately reflecting a decrease in AR as a percentage of revenue. As always, communicating effectively and transparently with our stakeholders and shareholders, and maximizing return on invested capital remains core to our operating philosophy. We will continue to provide important updates to the investment community, stay tune. With that, I will now turn the call over to Chris Buysen, CFO to talk about our financial results.
Chris Buysen: Thank you, Everett. Based on the industry-wide challenges driven largely by the COVID-19 pandemic as highlighted earlier in this call, consolidated revenue decreased $14.4 million or 44.9% to $17.6 million in the second quarter of fiscal 2020, compared to revenue of $32 million in the prior quarter ended February 29, 2020. Revenues comprised mainly a proprietary and industry-leading extraction, white label and custom manufacturing services, bulk winterized and distillate oil testing for Cannabis 2.0 market and analytical testing revenues. Revenue from the Cannabis operating segment decreased to $17.2 million in the second quarter of 2020, compared to $31.6 million in the prior quarter ended February 29 2020. As a result of reduce shipment of biomass extraction, as our partners adjusted their workforce and operations to manage through the uncertainty created by the pandemic. In addition to reduction in volume and compression in pricing realized on bulk winterized oil and distillate sales. With this face of moderation in extraction volume and frequency of the shipments to continue through the third quarter of 2020, but anticipate this production be partially offset by growth in revenue from existing and potential new unlicensed white label and custom manufacturing partnerships highlighted earlier in this call. Additionally, in the second quarter of 2020, the company generated $0.7 million in revenue from analytical testing through the company’s ISO 17025 accredited lab, including $0.3 in intercompany testing revenue, an increase from the $0.6 million including $0.2 million in intercompany testing revenue in the prior quarter ended February 29, 2020. As Everett discussed earlier, the team remained focused on managing credit exposure with all customers. Trade accounts receivable decreased $12.4 million or 29.5% to $29.6 million at May 31, 2020, compared to $42.1 million at the end of the prior quarter ended February 29, 2020. Of these trade receivables, 85% are held with five Health Canada licensed customers of the company. Subsequent to the end of the quarter, the company has collected as trade accounts payable outstanding with the same partners or has recorded an impairment loss provision representing 53% of the trade receivable balance, which supports the cash position of the company and speaks to the strength of our current relationships with our industry partners. Consolidated gross profit was $6.3 million or 35.8% of revenue for the second quarter of 2020, compared to the $18.1 million or 56.6% of revenue for the prior quarter ended February 29, 2020. Gross profit from the Cannabis operations for the second quarter was $6 million or 34.7%, compared to $17.7 million or 56.2% in the prior quarter ended February 29, 2020. Gross profit was impacted in the second quarter of 2020 by write-down of oil inventory of $1.5 million as a result of compression in pricing of bulk winterized and distillate oil. The analytical testing operation saw an increase in gross profit for the second quarter of $0.5 million or 69.7%, compared to $0.4 million or 72.3% in the prior quarter ended February 29, 2020. Operating expenses for the quarter were approximately $10 million, compared to $11.6 million during the prior quarter ended February 29, 2020. The decrease from the prior quarter was primarily attributable for lower wages and salaries as a result of the Government of Canada’s Canadian Emergency Wage Subsidy of $0.9 million, which was applied as a reduction to wages and salaries, lower share-based payments and travel and business development as a result of travel restrictions in place due to the COVID-19 pandemic. These reductions were partially offset by higher professional fees and facility costs. Adjusted EBITDA was $2.7 million or 15.3% for the second quarter of 2020 and decreased 81.1%, compared to $14.3 million in the quarter ended February 29, 2020. For the second quarter of 2020, the company posted a net loss of $3.5 million or $0.03 per share, compared to the net income of $2.5 million or $0.02 per share for the prior quarter ended February 29, 2020. During the second quarter 2020 the company entered into a syndicated credit facility that will provide the company up to $40 million of secured debt financing and interest rates ranging from prime plus 2% to prime plus 2.5% per annum depending on certain financial covenants. The credit facility consists of a $2 million secured term loan, which is fully drawn at May 31, 2020 and up to a $20 million secured revolving loan, which has not been drawn at May 31, 2020. In addition the credit facility contained an accordion feature that could allow the company to increase the aggregate commitment by up to $10 million. The company had $45.1 million in cash and short-term investments as of May 31, 2020, compared to $44.3 million at February 29, 2020. With that, I will now turn the call over to the operator to open the lines for the Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of David Kideckel with ATB Capital Markets. Please proceed with your question.
David Kideckel: Thanks, everybody, and congrats on the quarter guys. I just had a couple of questions here. The first I want to circle back kind of the expectations around tolling and extraction, obviously, a bit of a disappointment, which is not at all your fault coming from a, I guess, many of the cannabis license producers. So I am wondering just from your expectations and how we should be thinking about this, given the great uncertainty with COVID-19 and the pandemic, and how this will further impact the LPs ability to really come to you as a trusted provider to extract product? How should we be thinking about the ramp moving forward, not just in the next quarter, I mean, given that we are both halfway through this quarter already, but even into 2021, what are your expectations for tooling coming back and why as well? Thank you.
Jeff Fallows: Okay. Yeah. Thanks, David. This is Jeff. And just for those on the call, I will be facilitating the questions and directing that question given we all can be in the same location. So just -- I will allocate those questions that way and I will take a first shot at your question, David. So, obviously, it’s very hard for us to predict what’s going to be coming down the pipe in the wake of COVID and how quickly those extraction services will come back. But what we do know is from a bounce platform perspective, we continue to offer the most of first platform and scale available in the market to help LPs and players in the market to meet their ongoing requirements. So as we move to the next -- in the end of 2020 and in the end of 2021, the -- we could do think that the cost profile and the flexibility that our platform offers will be a very attractive option when those extraction margins or extraction volumes do come back.
David Kideckel: Okay.
Everett Knight: Yeah. And maybe just to expand. It’s Everett, David. As we discussed before there is -- at Health Canada, of course, last week, there is 620,000 kilograms of dried cannabis inventory on license producers’ balance sheet. So it’s not like there are in the lack of dry cannabis inventory. What COVID has done is put pressure on their balance sheets, and obviously, we are having conversation to get that back online. But if you just model out our manufacturing footprint today, the reason I view us more stable in this environment as a manufacturing company is really as we have gone and not only have licensed producers on our platform but as we have on-boarded a whole bunch of these third-party players whether they are CPG companies, whether they are brand companies that don’t have licensing, what we have been doing is we have been distributing those manufacturing products. And I think with the last four announcements recently along with BRNT now in Alberta you are seeing more visibility on that front on the platform and you are seeing that really translate through in the financials going from nine SKUs in Q1, so that’s 36 SKUs this quarter. And I would say just modeling that, we have an attractive platform and as these extractors come back in and figure out their balance sheets trouble it’s just icing on the cake for us.
David Kideckel: Okay. Thanks. That’s very helpful. Moving on to your white label segment and custom manufacturing, a number of the deals if not all of them that have hit the wire over the last little bit, I think, 36 in total, I think, around four in the last six weeks alone, but there’s obviously a royalty structure in place here as opposed to the minimum supply agreements previously held as patrolling. I guess my question on the royalty structures, I am going to assume that you are not disclosing specifics, because you haven’t previously, but how should we be thinking about these royalty structures as far as each individual contract. Are these based from your up at the end of the bigger customer and it depends what sales they are bringing in which will ultimately drive your royalties or is it based on the quantities regardless of sale that you are producing? Thank you.
Jeff Fallows: So the structure, David, of these agreements, obviously, is different from customer to customer. But in general, the way you can look at it as the more that they are able to bring to the table in terms of sales team, marketing platform or existing brand profile the more of a royalty -- of the higher the royalty that will be allocated to that customer, the more we are doing it and the more our platform is the key ingredient the more the lower the royalty will be, but certainly as those brands begin to pick up momentum in the market and establish -- formerly establish their position those economics may change as they prove that the brands can grab most part in the market.
David Kideckel: Okay. That’s good. And if I can just sneak one more in here, just in general here, moving forward, what kind of new products are you going -- is Valens going to be shipping out and to which provinces? And also if you can maybe include within that answer some -- an update around the beverages and in particular the source of beverages? Thank you. That’s it for me.
Jeff Fallows: Tyler, why don’t you take shot on this one.
Tyler Robson: Absolutely. Obviously, Tyler, here. So looking at things going out a big one for us going forward is obviously vape pens. We believe we have the best product offerings in Canada especially with [inaudible] and then live resin coming. Another big one for us obviously beverage we are launching drink drop with one of our co-branded partner, different beverages going up the provinces, which you will see on shelf in multiple provinces in the very near future. Another one to me is going to be [inaudible] and then a few other ones we are looking at, obviously, hydrocarbon is coming and I think we have officially launched in multiple provinces as of now and sales seems to be going extremely well. So we remain confident in SKU going forward and the products we are offering and sales, as we pick it away from extraction where we have really started a push on white label and co-packing so we are going to continue to accelerate that during this pandemic.
David Kideckel: Thanks for that Tyler. And then maybe just a follow on that, from the beverage category, can you comment just overall how are you seeing sales within the beverage segments to-date?
Tyler Robson: Overwhelming to say the least, so we knew beverages were going to be big, we didn’t know they would go as fast as they did, so we are firing on all cylinders, trying to reset the provincial demand and supply right now, which we have got to ramp-up our staffing and bring in more infrastructure and manufacturing equipment to try to ramp that up. So it is going better than expected and we will continue to kind of push that. With some key players actually having fundamentally sound beverages we are one of the only one out there actually creates a consumer experience with the accelerated onset and accelerated offset, so the feedback has been tremendous to-date. So we are really going to take advantage of the unique opportunity we have.
David Kideckel: Great. Thanks very much and congrats on the quarter.
Operator: Thank you. Our next question comes from the line of Jenny Wang with Eight Capital. Please proceed with your question.
Jenny Wang: Thank you. Good morning. My first question is, during the quarter you turned your focus to really produce and manufacture the 36 SKUs. I am assuming most of these are 2.0 products. Can you give us an idea to kind of what portion of these SKUs were for existing white label contracts that you have already secured and what portion was really in anticipation of signing future contracts? And the second part of this question is, would you consider directly selling maybe a part of these SKUs to provincial bodies under The Valens brand since you have already manufactured it? Thank you.
Jeff Fallows: Maybe we will -- I will answer the second part of that question first and then I will turn to Chris to maybe answer the percentages. But we are a third-party custom manufacturer. It -- there is no intention internally on launching -- to be launching our Valens brand. We want to make sure that we are providing our ongoing customers, current customers and future customers with the ability to differentiate their brands and launching products to the market. Chris, you want to address the breakdown of the sales?
Chris Buysen: Sure. Yes. Certainly. So, I guess, from a sales standpoint as we enter into these relationships with these partners and licensed partners. The inventory that we are manufacturing really is specific to that partnership that we are creating with them, so all of the SKUs, the 36 SKUs that we manufactured this quarter would be for existing partnerships that were in place at that time, because it is a specific product that we are developing in partnership with each individual partner.
Jenny Wang: Okay. Got it. Thank you.
Jeff Fallows: And Jenny, you should -- you need to keep in mind as well to that, when you are announcing new agreements, we have a record where we launch a new product in 44 days into the market, but these things take a significant amount of time and effort internally to launch them. So not only 36 SKUs sort of a Herculean effort, but the next step in getting these new products to market on these agreements we just announced is also a lengthy process.
Jenny Wang: Okay. That’s helpful. And maybe in terms of could you give us some color on kind of reception of your delivered products so far, which categories are in demand by the provincial wholesalers and which categories do you think are still underserved or undersupplied by the industry?
Jeff Fallows: Tyler?
Tyler Robson: Yeah. So the two big ones for us at this point of time that are underserved is number one hydrocarbon, we can’t make it fast enough depending on any form factor of extract. That’s the number one and beverages as well, like I said earlier in the call, the consumer experience in -- on some of the other beverages have been underwhelming. So the feedback on ours launched successfully has been tremendous. So I think those are the two biggest unique opportunities. But at the end of the day, I think, the whole 2.0 category is lacking from some of our industry peers. So we have a unique opportunity. We truly believe topicals is going to be a very dominant player coming out and we are really pushing on that and few other hydrocarbon extracts. So we are really, really pushing hydrocarbon right now, but I think, the entire 2.0 category is lacking. Part of it too is consistency and quality, and a price point that works for consumers. There is a lot of these license producers having played a cost of production to gain their profit or any margin, now that they are pricing themselves at the category, not moving essentially quickly. So with down value-add services, we can really kind of come in and undercut the market and push volume.
Jenny Wang: Got it. I will join back in the queue. Thanks.
Operator: Thank you. Our next question comes from the line of John Chu with Desjardins Capital Markets. Please proceed with your questions.
John Chu: Hi. Good morning. So maybe just touch on to stay on pricing then. Obviously, there’s been pricing pressure on the tooling side. Maybe just talk about broader pricing trends, not just tooling but what you are seeing on the custom manufacturing and on the white label. You are saying you are ready to price undercut, so that mean we are going to see -- start seeing pressure on the white label side too?
Jeff Fallows: I will take the first shot here and then Everett maybe I will give you an opportunity to discuss as well. But John, I think, what you are seeing is on our profile, what we are -- what we really provide is our customers’ establish a brand in whatever segments that they want to establish. So they have a premium offering. They can price at a premium price point and enter the market and our infrastructure will allow that. But if you want a more cost competitive product or a lower cost item, our platform can also allow that based on the capabilities we have. So, I think, it’s a broad -- we are facilitating a broader amount of price points in the market, but if I would say, I’d say, in the near-term it’s sort of that that value segment that is experiencing a lot of attention and where we expect there to be some strong growth in the short-term. Everett, do you have anything to add?
Everett Knight: Yeah. John, I think, that from the custom manufacturing side it’s really a tailwind for us. If you look at the amount of dried cannabis in inventories earlier. In future quarters especially going in to 2021, I think, we can really as we are selling mostly end products on the manufacturing side and distributing them. Our input cost is going down dramatically, right on that front every single day, which is really a tailwind for margin going into that 2021. So I think that’s an opportunity. I think and just to reiterate Jeff’s comments, we are the lowest cost producer as an extraction company in the cannabis space from our knowledge today. So, I think, that, yes, we have seen compression of oil sales, which is not as big of a core competency for us, we have already been more strategic on the custom manufacturing side, but the extraction footprint, I don’t think we are worried about the compression on that and we haven’t seen as much as on the distillate sale side.
John Chu: And earlier you talked about just looking at the credit worthiness of customers and that’s an ongoing thing for the company. So maybe just give us an update in terms of the existing customer base, but also potential customers that maybe you had to turn away just because you didn’t think that their ability to pay down the roadways was quite up there. So maybe just give us a sense of how that’s been playing out for you?
Jeff Fallows: Maybe, Chris, I will turn this over to you.
Chris Buysen: Certainly. Yeah. So as we on-board and look at bringing new customers to the team from a control standpoint that is kind of one of the critical stage -- steps that we go through to evaluate creditworthiness of all of our partners on the white label side of things I guess it’s mitigated in the structure of those agreements from our royalty standpoint with us selling direct into the provinces kind of mitigate that risk in that category quite significantly. But on the extraction side specifically definitely is a focus and something that the team looks closely at specifically in the environment that we are operating in today.
Jeff Fallows: And John to be clear the discussions are -- as we are doing our pre-work and making sure that we are comfortable with the profile. It’s really more about risk mitigation. So questions where there may be challenges in any given customer, the conversation moves to structure of the deal and how to limit that risk and that exposure, because obviously everyone in the current market there is challenges ongoing. We are in the business of bringing brands to market. So it’s not like we are going into conversations looking to say no to people, it’s more, we want to properly assess the risk and make sure that our structure properly accounts for that.
John Chu: Okay. I will get back in the queue. Thanks.
Operator: Thank you. Our next question comes from the line of John Marrow [ph] with Canaccord Genuity. Please proceed with your question.
Unidentified Analyst: Good morning. Thank you for taking my questions. The first one here is just on the beverages and edibles categories. So we saw a report of strong demand for those 2.0 products as the stay-at-home measures that came into place earlier. I think beverages and edibles are about 25% of sales in May. So as the summer months start rolling around we are seeing these restrictions kind of loosen up and people aren’t in home as much. So have you seen from your level of visibility any shifts on the demand or the market share side for these beverages and edibles products? And are they trending upwards or downwards into June -- into the June, July the summer months where people aren’t at home as much and they might be shifting more towards vape or bio type product?
Jeff Fallows: I will let Tyler come in and comment on sort of a larger trend and view, but in the short-term I will say, no. We haven’t noticed any decline, I think, especially from the beverages perspective it remains strong and growing. If I look at sort of the offering that we put on in the market relative to other markets where beverages are perhaps a lower percentage of the overall pie in Canada given some of the technologies that we have out there and the quality of experience that we are providing we continue to believe that that segment will be a larger segment in the Canadian context, but in the short-term we have not seen a shift in that demand so far. I don’t know Tyler is there anything to add?
Tyler Robson: Yeah. No. I will echo basically exactly what you said. So month-over-month growth as far as beverages, so a lot of people don’t understand like the core can take the beverages we put on the market so they are rather healthy, there is no hangover. So we see 10, 50 people actually moving away from the alcohol into those beverages. And I can’t really comment on edible growth right now because that’s something what we never really gone after. Looking after the health and wellness aspect that of the way trends are going in consumers right now not really a big aspect either at meeting droplet or anything like that, so we really going after the low core and take beverages and in the consumer experience. So we see nothing but blue sky going forward and really bringing different formats or different forms of beverages to the market, so the consumers can have option. Right now we only launch essentially 2 milligram and the 2.5 milligram per serving. So you are going to see some other one in the market in the very near future. So beverages are whole team add in my mind [ph].
Everett Knight: And John, it’s Everett here. Maybe just to expand on that comment too, like that, we are impressed with the sales in May in Ontario were 25% that you said came from edible, dates and beverages. But if you look at that category of the edibles category beverages made up 28% and that’s the fastest growth we have seen. So as Tyler mentioned, we are seeing that growth continue and 25% of the Cannabis 2.0 category is way ahead of analyst estimates. I think what you are going to see that is if it’s continue to exceed those expectations at least what we are seeing on our side. And if you look at the U.S. marketplace roadmap for Canada it’s really a greater than 50% of the products now are oil based products, which is really our core competency as a manufacture. So I think you are going to continue to see that growth and we continue to see that ramp up.
Unidentified Analyst: Thank you. And then just shifting to the international front. I just was -- wanted to touch base on that Cannvalate agreement. Has there been any discussions to get various group of products over into Australia kind of where you in actually monetizing on that agreement right now?
Jeff Fallows: So we expect to have our first shipment, as we said, in the body of the call in Q3, our Q3, and we are very encouraged and very happy with the relationship we are building with Cannvalate and the opportunity that that is servicing for us. So right now, I’d say, definitely Q3 and then very excited about the opportunities to bring additional products on in the very good future.
Unidentified Analyst: Thank you. And just a follow on on that, is there a specific product format that they are looking towards, is it vapes or tinctures oil?
Jeff Fallows: Everett, why don’t you give a shot at this one.
Everett Knight: Sure. What it’s really starting like in the marketplace today if you look at Australia, it’s 95% oil-based products, right? So if you look at our market is dominated by tinctures, but soft gels are kind of fast coming up, I would say, that as we get in the CBD market place expanding, which is expected to be deschedulized from Schedule 4 today to Schedule 3, we are going to see the variety of those products. So the conversation with Cannvalate you would be surprised that the wide variety of products we are doing, not just tinctures, but beverages and topicals and vapes as that market expands. We are already having those conversations and got development plans in place.
Unidentified Analyst: Perfect. Thank you.
Operator: Thank you. Our next question comes from the line of David Kideckel with ATB Capital Markets. Please proceed with your questions.
David Kideckel: Thank you. I just want to circle back on something, I mean, you guys have a solid balance sheet, great credit facility as well. And I think, Jeff you mentioned, that you believe that The Valens stock is very heavily discounted. We would agree with that too. My question is then on the before as you mentioned in your prepared remarks with the ramp of 2.0 products moving into the back half of 2020, I am just giving your ample liquidity here, is there an opportunity for you guys to be even more aggressive on your stock buyback? Thank you.
Jeff Fallows: Certainly, David, and this is something that we discuss often and we balance against a number of opportunities. In the short-term we are active but taking a cautious view of this given, we are very comfortable with our balance sheet but we are very protective of our balance sheet and making sure that we continue to have the financial resources and flexibility to pursue the opportunities that are presented to us. But at the same time wanting to drive that near-term value or immediate value that gets delivered to shareholders through the buyback, so we have this conversation often, we will continue to be active, we will continue to pick our spots and not only supporting the stock but also driving value to shareholders.
David Kideckel: Thank you.
Operator: Thank you. Our next question comes from the line of John Chu with Desjardins. Please proceed with your question.
John Chu: Hi. Just wanted to follow-up on the biomass that was processed in the quarter and it was actually a lot higher than what we had thought. So maybe just -- and I know some of that probably went to work in progress in terms of your oil inventory. But can you give us a breakdown in terms of hemp versus cannabis and then just kind of how that outlook for processing volumes looks going forward?
Jeff Fallows: Chris, do you want to take this one?
Chris Buysen: Certainly. So, yeah, if we look at the volume that we processed in May, as we mentioned in our commentary, a large portion of that was kind of shifted to our own biomass. As far as split goes, it was fairly even between hemp and cannabis in the quarter, which aligns with kind of what we are seeing from inventory levels from our own internal inventory levels of CBD and THC, which we are kind of managing to be able to fulfill the demand that we are seeing for the white label products.
John Chu: Okay. And then just another follow-up question, I thought, Tyler said on the call earlier, that your entire margins are on the white label side. Can you just maybe go over the margin profile for custom manufacturing of white label versus the tooling? I thought that tooling was a higher margin business?
Jeff Fallows: Giving your reference Tyler. Tyler, do you want to take this one?
Tyler Robson: So I just like to speak to -- I could speak to that. I think the comment on the white label side is that it’s certainly a high margin business for us. By far tooling that we are looking at it from a percentage standpoint is -- it’s higher than the white label side, but we are still pleased with the margins that we see on the white label side of the business.
John Chu: And actually the market…
Jeff Fallows: And John -- sorry and John, just to be clear. If there was a comment or an interpretation that we said that, the white label was a higher margin business and that’s not what was intended to said, no, we did not intend to say that.
John Chu: Right. And that’s what I thought, that’s why I just wanted to make sure I heard that right to clarify that. And then maybe just describing the margin profile between the cannabis versus hemp based products, can you just maybe give us a little bit of an insight on that?
Jeff Fallows: Sure. Chris, do you want to go through this one as well?
Chris Buysen: Sure. Can you repeat that?
John Chu: Hey. Hi, Chris. I am just curious about the margin profile for a hemp-based product versus a cannabis-based product, are the margin profiles for white label is similar or are they --is one higher than the other?
Chris Buysen: No. Overall, they are fairly similar and large -- largely based kind of these inputs that we are seeing from our biomass. We have been able to source recently some well-priced cannabis and we do have agreements in place on the hemp side as well for favorable pricing from our view. So, overall, similar margin profile between the two.
John Chu: And sorry, Chris, maybe last question. Maybe just on the inventory, obviously, is there a risk of anymore write-downs on that? Thanks.
Chris Buysen: At this point in time we are comfortable with the devaluation from an inventory standpoint. Again kind of continuing to kind of monitor developments and compression that we have seen in pricing historically, but as we kind of shift and start to deploy this inventory into kind of consumer packaged goods through our white label program and being able to realize more value off of that, that will I guess further mitigate the risk of additional write-downs in the future as well.
John Chu: Okay. Great. Thank you.
Operator: Thank you. Our next question is from the line of Jenny Wang with Eight Capital. Please proceed with your questions.
Jenny Wang: Thank you. Just following up on a comment, I think, Chris made, in terms of -- are you seeing any opportunities right now kind of to buy dried hemps or dried cannabis at lower prices or kind of what kind of trend are you seeing in terms of wholesale prices? Are they coming down quite dramatically or stabilizing or any insight there will be helpful? Thanks.
Jeff Fallows: I think and Chris I will open the door for you to add things here. But, overall yes, we are -- there is a downward pressure on pricing in the wholesale market from our perspective, I’d say, for sure. But I also say that there’s opportunistic purchases that we make based on different relationships and different opportunities for us to buy some attractive product and that’s one of the benefits of the balance sheet that allows us to be opportunistic and realize those lower price inputs. Chris?
Chris Buysen: Yeah. I wouldn’t have anything further to add to that that’s definitely our strategy and what we are seeing in the market today for sure.
Everett Knight: And Jenny, maybe just to expand, Everett here, I think, that’s a tailwind, as I mentioned, long-term. Like, I think, you are seeing a continual disproportionate compression on the dry cannabis with the inventories we talked about. And I think that’s in the future as we get more into the manufacturing side we have more stability and prices going into the provinces, meaning that if our input pricing comes down it goes into the margins for us. So I think that’s something to watch for, and as Jeff mentioned, we continue to have relationships and now that we are the biggest buyer of dried cannabis in Canada, I mean, we get very attractive pricing that, I think, would surprise you in future.
Jenny Wang: Got it. Thank you.
Operator: Thank you. Ladies and gentlemen, at this time, there are no further questions. I would like to turn the floor back to management for closing comments.
Tyler Robson: Thank you, Operator. As we continue to develop The Valens Company for a premium manufacturer in the cannabis space, we have diversified our business beyond total extraction and truly emerge as one of the only one stop shop for product development and manufacturing cannabinoid based products in the country. We have put a dominant move in the creation of both the extraction and manufacturing marketplace, and continue to lead with the largest offering of extraction technique and manufacturing and product format capability in the sector. We are not immune to the obstacles of building this nascent industry, which we undoubtedly have been impacted by COVID-19 pandemic. So we believe the platform we have created is fully adaptable to the changing market condition and as a result of the breadth of services we can offer. Further we have made significant progress in the rollout of our white label and custom manufacturing program and believe this progress will lead to stronger revenue growth in the second half of the year and beyond as these customer agreements gaining momentum. Our investments in proprietary technologies and our advancements in R&D capabilities are expected to further entrench our position as the leading producer of high quality differentiated products and drive value in the months to come. In closing I would like to thank all of our shareholders for their ongoing belief in our business allowing The Valens Company to grow as a pioneer in the industry, as truly -- as the truly only the third-party cannabinoid-based product manufacturing business today. The evolution of our business in the premier manufacturer has begun and we are fully confident in the resources and capabilities we possess to lead on a global scale. With that, I will ask operator to close the line.
Operator: Thank you. Ladies and gentlemen, this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.